Executives: Jeffery H. Boyd - Chief Executive Officer, President, Member of Group Management Board, Director, Chief Executive Officer of Lowestfare.com and Director of Lowestfare.com Daniel J. Finnegan - Chief Financial Officer, Chief Accounting Officer and Senior Vice President
Analysts: Stephen Ju - Crédit Suisse AG, Research Division Brian Nowak - Nomura Securities Co. Ltd., Research Division Ross Sandler - RBC Capital Markets, LLC, Research Division Naved Khan - Jefferies & Company, Inc., Research Division Mark S. Mahaney - Citigroup Inc, Research Division Heath P. Terry - Goldman Sachs Group Inc., Research Division Tom White - Macquarie Research Kevin Crissey - UBS Investment Bank, Research Division Tracy B. Young - Evercore Partners Inc., Research Division Michael J. Olson - Piper Jaffray Companies, Research Division Douglas Anmuth - JP Morgan Chase & Co, Research Division Herman Leung - Susquehanna Financial Group, LLLP, Research Division Justin Post - BofA Merrill Lynch, Research Division Jeetil J. Patel - Deutsche Bank AG, Research Division Anthony J. DiClemente - Barclays Capital, Research Division
Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Priceline Group's Fourth Quarter and Full Year 2011 Conference Call. Priceline would like to remind everyone that this call may contain forward-looking statements, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are not guarantees of future performance and are subject to certain risks, uncertainties and assumptions that are difficult to predict. Therefore, actual results may differ materially from those expressed, implied or forecasted in any such forward-looking statements. Expressions of future goals and similar expressions reflecting something other than historical fact are intended to identify forward-looking statements. For a list of factors that could cause Priceline's actual results to differ materially from those described in the forward-looking statements, please refer to the Safe Harbor statements at the end of Priceline's earnings press release, as well as Priceline's most recent filings with the Securities and Exchange Commission. Unless required by law, Priceline undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. A copy of Priceline's earnings press release, together with an accompanying financial and statistical supplement, is available in the Investor Relations section of Priceline's website located at www.priceline.com. And now I'd like to introduce the Priceline Group's speakers for this afternoon, Mr. Jeff Boyd and Mr. Dan Finnegan. Go ahead, gentlemen.
Jeffery H. Boyd: Thank you very much, and welcome to Priceline's Fourth Quarter Conference Call. I'm here with Priceline CFO, Dan Finnegan. I will make some opening remarks, and Dan will give a detailed financial review. After the prepared portion, we'll take questions. Priceline reported consolidated gross bookings for the fourth quarter of approximately $5 billion, up 52% year-over-year. Non-GAAP net income was $276.8 million or $5.37 per share, up 58% versus prior year. Fourth quarter results surpassed First Call consensus estimates of $5.05 per share and our guidance for the quarter. Worldwide hotel room night reservations were $33.6 million for the quarter, up 53% year-over-year. For the full year, Priceline reported gross bookings of $21.7 billion, up 59% from 2010 and non-GAAP net income per share of $23.45, a 74% increase over 2010. Growth rates for our international business increased slightly on a local currency basis during the quarter, with 67% gross bookings growth. International gross bookings growth rates benefited from increased ADRs, growth in new markets and growth in hotel supply. Booking.com continued to build its worldwide hotel supply platform, with now approximately 195,000 hotels and other accommodations in 160 countries. Booking.com has maintained an impressive rate of new property acquisition. Keep in mind, however, that many new properties, especially in highly penetrated markets, are smaller, have fewer rooms and potentially lower ADRs and may appeal to a smaller subset of customers, for example, hostels and bed and breakfasts, and therefore may generate less commission revenue over time. Booking.com's focus on new markets in Asia, South America and North America continues, with reservations to those destinations growing faster than core markets and increasing as a share of total reservations. Booking.com is also making substantial investment in people to promote and manage the expansion of its hotel and geographic base. While high growth rates in new markets are encouraging, we believe Booking.com still has a substantial opportunity to grow in its core markets. A recent study published by Eurostat, the statistical office of the European Union, reported 1.6 billion room nights stayed in 2011 in the 27 EU countries. Priceline's group-wide room nights booked in the EU 27 in 2011 represents a mid-single-digit percentage of that total, although our share may be higher or lower in a given destination. Priceline's domestic gross bookings grew 16% in the fourth quarter due primarily to growth in sales of retail hotel room night reservations, retail rental car reservations and growth in airline ticket sales and average ticket prices. Hotel room night booking growth also benefited from higher ADRs. Priceline's opaque hotel service continued to be impacted by the increase in competitive discount offerings in the market. Merchant gross bookings growth of 37% primarily reflects growth in the merchant businesses of Agoda and rentalcars.com, formerly TravelJigsaw. Agoda continues to build its business in the Asian region and continues to report impressive year-over-year growth in gross bookings, contributing to the overall international and merchant growth we are reporting. These results were delivered despite the negative impact of the floods in Thailand, which caused the loss of some reservations and higher cancellations. We are grateful for the team's efforts in dealing with the effect of the floods and continuing to move the business forward. In 2011, rentalcars.com substantially completed the transition of its business from a number of brands under TravelJigsaw, such as Carhire3000, to rentalcars.com. For many years, the group has operated a retail offering in the United States with the rentalcars.com URL. We believe rentalcars.com is one of the leading domain names for online rental car reservations, and the team is delighted to consolidate the U.S. retail business with TravelJigsaw's international business and drive investment to build the rentalcars.com brand worldwide. We are very pleased with the growth of our brands in 2011 and with the progress each made in building its franchise for the future. As we have stated in previous calls, we expect growth rates to decelerate due to the large scale of the business we operate. We are also cautious in view of continued challenging economic conditions, particularly in Southern Europe where we believe austerity programs and recessionary conditions have had a negative effect on growth rates. Our aim is to continue building our strength in new markets, gain share in core markets and pursue innovation, which we believe will allow us to build on our leadership position as the markets change. In summary, the business performed well in the fourth quarter, and I commend my colleagues around the world for their focus and execution. I will now turn the call over to Dan for the detailed financial review.
Daniel J. Finnegan: Thanks, Jeff. I'll discuss some of the highlights and operating results and cash flows for the quarter and then provide guidance for the first quarter of fiscal 2012. Growth rates mentioned in my remarks are in relation to the prior year comparable period, unless otherwise indicated. Q4 was a strong quarter from a top line growth perspective. Gross bookings grew by 52%, driven mainly by our worldwide hotel reservation business. Hotel room nights booked grew by 53% in the fourth quarter, representing sequential acceleration compared to the 47% growth rate achieved in Q3. Average daily rates, or ADRs, were up on a local currency basis by approximately 2% for our international hotel service and by about 6% for our U.S. hotel service for Q4 2011. FX rates for the fourth quarter for the euro and British pound were each about 2% unfavorable to the rates we assumed in our guidance and about 1% unfavorable compared to the prior year. Our Q4 international gross bookings grew by 65.5% and by 67% on a local currency basis, in both cases, exceeding the top end of our guidance range. The guidance we gave on November 7 was based upon actual results through that date and, as we said on the call, the assumption that growth rates would decelerate as we proceeded through the remainder of the quarter. Hotel room night growth rates for our international business instead accelerated through the remainder of the quarter. And as we'll see in a moment when we discuss guidance, these bookings are expected to contribute to gross profit growth in Q1 upon checkout. Performance was generally strong across all regions, with newer markets for Booking.com, namely North America, Asia Pacific and South America growing well in excess of our consolidated growth rate. But we do see softer growth rates in ADR trends for certain Southern European countries. Rental car days booked were up by 34%, driven mainly by strong growth for our rentalcars.com business. The rentalcars.com team has done a good job of transitioning the brand and building their infrastructure. The business delivered results in 2011 that exceeded our expectations and is off to a good start in 2012. Gross bookings growth for our U.S. business of 16% exceeded our forecast for 13% growth. Strong growth in retail hotel room nights booked and higher ADRs were key drivers in year-over-year growth. Name Your Own Price hotel room nights declined slightly, likely as a result of competitive discount hotel initiatives. Airline tickets booked were up by 6% in the quarter, reflecting good growth in the retail airline tickets, partly offset by a modest decrease in Name Your Own Price tickets due to limited availability to discounted tickets, resulting from further capacity flux by the airline industry. An 11% increase in average retail ticket prices also contributed to gross bookings growth. U.S. rental car business had a good quarter, helped by strong retail bookings and availability of discounted rates for its opaque business. The strong gross bookings performance helped drive bottom line results that exceeded the top end of our range of guidance and First Call consensus. Gross profit for the quarter was $725 million and grew 51% as compared to prior year. Our international operations generated gross profit of $609 million, which constituted an increase of 63% as compared to the prior year, an increase of 66% on a local currency basis. Gross profit for our U.S. business amounted to $116 million, which represented 10% growth versus prior year. Non-GAAP operating income as a percentage of gross profit amounted to 46.5% for Q4 2011 as compared to 46.1% for the prior year. Operating expenses grew slower than gross profit, resulting in 40 bps of additional operating leverage. However, online advertising expense as a percentage of gross profit was 220 bps higher than prior year, primarily as a result of business mix. Our international business, which relies more on online advertising spend, grew at a faster pace than our U.S. business, driving the mixed impact. In addition, our price on U.S. business continues to see an increase in share of its business coming through paid channels. Adjusted EBITDA for Q4 amounted to $344 million, which exceeded our guidance range of $310 million to $330 million, and represents 54% growth versus prior year. Non-GAAP net income grew by 58%, including a lower year-over-year cash tax rate due to the Innovation Box Tax benefit in the Netherlands and a lower statutory rate in the U.K. In terms of cash flow, we generated approximately $282 million of cash from operations during the fourth quarter 2011, which represents a 57% increase versus prior year. We spent about $17 million on CapEx in the quarter, and we spent about $47 million on a full year basis, which represents a sizable increase compared to prior year. This spending is principally for additional IT capacity and office build-outs to support growth and geographic expansion, including new office facilities for Booking.com in Amsterdam and the U.K. We expect future CapEx spending to also be higher than historical prior year levels as we continue to spend to support business growth. At quarter close, our cash and investments of $2.7 billion exceed our outstanding debt balance by about $2.1 billion. We also have a $1 billion revolving credit facility that is undrawn and does not expire until 2016. Now for first quarter 2012 guidance. We are forecasting total gross bookings to grow by 33% to 38%, with U.S. gross bookings growing by approximately 10%. We expect international gross bookings expressed in U.S. dollars to grow by 41% to 46% as compared to last year and to grow on a local currency basis by approximately 43% to 48%. Our guidance assumes that ADRs for Q1 will be flat to up slightly for our international hotel service and up by about 5% to 6% for our U.S. hotel service. Our Q1 forecast assumes that exchange rates remain at the same $1.34 per euro and $1.59 per British pound as Friday's closing rates, which would result in average exchange rates that would be weaker by 3% for the euro and by 2% for the British pound as compared to the prior year. Although euro has increased in value versus the U.S. dollar recently, it is important to remember that, given challenging economic conditions and the sovereign debt issues facing Europe, we are likely to see volatility in the euro-dollar exchange rate, which can materially impact our results expressed in U.S. dollars. We have hedge contracts in place to substantially shield our first quarter EBITDA and net earnings from any fluctuation in the euro or pound versus the dollar between now and the end of the quarter. But these hedges do not offset the impact of translation on our gross bookings, revenue, gross profit and operating income and do not hedge our earnings beyond the first quarter. We expect Q1 revenue to grow year-over-year by approximately 22% to 27% and gross profit dollars to grow by approximately 40% to 45%. We expect non-GAAP operating income to grow at a slower pace than gross profit, mainly due to deleveraged and online advertising expense, where we expect to continue to see a trend of our business mix shifting to international and online paid channels. In addition, we assume that Q1 margins will be impacted by our continued investment in people, offices, IT expenses and increased depreciation expense related to CapEx to support the growth of our business. Adjusted EBITDA is expected to range between $243 million and $253 million, which at the midpoint represents 43% growth versus prior year. We are targeting non-GAAP fully diluted EPS of approximately $3.80 to $3.90 per share, which at the midpoint represents 45% growth over prior year. Our non-GAAP EPS forecast includes an estimated cash income tax rate of approximately 16%, comprised of international income taxes and the alternative minimum tax and state income taxes in the U.S. This rate reflects the estimated impact of the Innovation Box Tax benefit in the Netherlands. We expect our full year 2012 cash income tax rate will be approximately 4 to 6 percentage points lower than it would have been if we did not have the Innovation Box Tax benefit. Our GAAP EPS guidance -- our non-GAAP EPS guidance assumes a fully diluted share count of 51.7 million shares based upon Friday's closing stock price of $590.41. We expect to report GAAP EPS of $3.10 to $3.20 per share for Q1. The difference between our GAAP and non-GAAP results is driven by non-GAAP adjustments that are reconciled in detail in our earnings release. Our guidance reflects the growth rate deceleration observed in our actual results to date and assumes continued deceleration through the remainder of the quarter. We believe that the gross bookings growth rates inherent in our Q1 guidance are likely impacted by a challenging comparable quarter for Q1 2011 in which we experienced exhilaration in growth rates as compared to Q4 2010. Our Q1 2012 growth rate has also likely been impacted by extreme weather across Europe and the impact of weak economic conditions and sovereign debt concerns in Europe. We believe that our reported results demonstrate considerable resilience given the macroeconomic uncertainty that prevailed throughout the quarter and continues today. While this uncertainty has not had a pronounced impact on our results to date, we have seen short-term volatility in our unit growth rates and increased cancellation rates for our International business, which makes it more difficult to forecast trends. In addition, as I mentioned earlier, we have observed weaker transaction growth rate and ADR trends for certain Southern European countries, likely due to economic conditions and sovereign debt concerns. If these problems were to intensify or spread to other key markets, our business would be adversely impacted. I want to take a moment to comment on a few industry and market factors as we look to the balance of 2012. A number of our competitors have experienced substantial margin compression as part of a program of investment to position their businesses for growth. On the other hand, our group has seen improvement in operating leverage over the past several years. While we do not currently foresee substantial margin compression associated with large IT platform rebuilds and the like, there are factors that could put pressure on margins going forward, including continued growth in the mix of paid online business; decreases in marketing ROIs tied to click costs, pressure on unit economics or conversion rates; high growth in markets like Asia, which are at an earlier stage of development and have lower operating margins compared to more mature markets; and continued investment in geographic expansion and hotel additions, which may, as Jeff just discussed, provide diminishing returns over time. We also continue to be generally cautious in our outlook for top line growth given the uncertain worldwide economy, potential currency headwinds affecting our results expressed in U.S. dollars and expected sequentially decelerating growth rates for a very large business comparing against high transaction growth rates in each quarter of 2011. Our forecast does not assume any material change in macroeconomic conditions in general and conditions in the consumer travel market in particular. We will now take your questions.
Operator: [Operator Instructions] Our first question or comment comes from the line of Mr. Stephen Ju from Crédit Suisse.
Stephen Ju - Crédit Suisse AG, Research Division: As we look at the balance of 2012, this is a year in which we have a series of major soccer and Olympics tournaments, all hitting Western and Eastern Europe all during the year. Any color you can give us in terms of what the impact, if any, your business might see on what's been the impact in the past with the 2006 World Cup in Germany also?
Daniel J. Finnegan: Well, Stephen, our business is so diverse now geographically that we typically don't notice the impact of an event like that showing up and having a dramatic impact on our consolidated results. The World Cup years back, at one point, we thought that it helped our growth rate. And then a year later, we determined that it likely hurt our growth rate. So it's hard also to determine the specific impact of these events when you've got a business that's growing at very fast rates. That said, we are focusing in the U.K. to make sure that we've got good availability during the Olympics. And it's likely that would drive some higher ADRs in that market and those are positive factors for us.
Operator: Our next question or comment comes from the line of Mr. Brian Nowak from Nomura.
Brian Nowak - Nomura Securities Co. Ltd., Research Division: I was curious about -- if you could speak about some of your recent most -- most recent APAC trends and if you're still seeing the triple-digit bookings growth you were seeing a few quarters ago? And then also, any more clarity on sort of the relative regional growth rates you're seeing at Booking.com and how the North American growth rate compares to APAC or the Latin American growth rate?
Jeffery H. Boyd: We typically do not break down regional trends. What we've said in this call and in prior calls is that for the international hotel business and for Booking.com, new markets include APAC, South America and North America and that those businesses are growing more rapidly than the core Western European markets. And that was a trend observed in the fourth quarter. We haven't given any more detail really beyond that.
Operator: Our next question or comment comes from the line of Mr. Ross Sandler from RBC Capital.
Ross Sandler - RBC Capital Markets, LLC, Research Division: Dan, I just had 2 quick questions. First, you mentioned flat to slightly up ADR from 1Q. The question is, if ADR starts to potentially go negative in 2012, how does that impact the unit economics and overall EBITDA to gross profit? And then the second question is, now that TripAdvisor has separated from Expedia, could that potentially be a bigger source of in-market traffic? And how does the ROI compare on TripAdvisor versus Google?
Daniel J. Finnegan: So on the first question, Ross, weakening ADRs have a negative impact on our business. First of all, that means the price of the hotel stay is lower and we get a percentage of that daily ADR, and so our take goes down. It can have a negative impact on our operating leverage as well because it means that the unit economics for our online advertising are adversely impacted, and so that's one of the items we were referring to there when we say this is something we look at and worry about for going forward. So we've been lucky or we've been fortunate over the past several quarters to have strong advertising efficiency for online advertising, but that could certainly change due to factors outside of our control such as how ADRs move or what happens with click costs. So that would have a potentially negative impact on that metric, which could drive pressure on our operating margins.
Jeffery H. Boyd: And with respect to TripAdvisor, they are a good source of traffic for us now and a good advertising partner for us. We continue to look for ways to improve our business with them. With respect to the ROIs on TripAdvisor, we wouldn't comment on what the relative ROIs are versus any other pay channel. But suffice it to say that they're attractive enough for us to do significant business with them.
Operator: Our next question or comment comes from the line of Mr. Naved Khan from Jefferies.
Naved Khan - Jefferies & Company, Inc., Research Division: Jeff, you spoke about a negative impact from extreme weather in Europe. Can you quantify the impact and what's in your guidance for Q1? And then I have a follow-up.
Jeffery H. Boyd: We don't have a specific quantification for the impact of extreme weather. Many of you saw in the papers, there was a period of weeks where there was extreme cold in Europe that was experienced as far south as Rome, very, very unusual cold snap. And we believe that had an impact on the business during that time, but we don't have a quantification of that for you.
Naved Khan - Jefferies & Company, Inc., Research Division: Okay. And then in the U.S., obviously, it seems like you are emphasizing more towards the online advertising versus TV ads. So as you look to sort of reposition the business, is it that you're sort of turning away from Name Your Own Price and focusing more on hotel-only kind of business? Or how should we be thinking about it?
Jeffery H. Boyd: There's no question that the dominant theme in our television advertising in the United States this quarter is around retail hotel product where you don't have to bid. And we think that campaign has been very successful and has created a lot of PR buzz in terms of generating awareness. That's certainly not to say that we are de-emphasizing or in any way walking away from the Name Your Own Price business, which continues to be one of our signature products and great value for consumers. But our research with consumers has shown us over the years that there still are a very large number of U.S. consumers that don't even really know that priceline.com offers a full retail hotel product. And having made the investment to build that inventory to be one of the largest inventories available and many more choices for consumers, we thought it was important to underline that at this point in time.
Operator: Our next question or comment comes from the line of Mr. Mark Mahaney from Citigroup.
Mark S. Mahaney - Citigroup Inc, Research Division: Two broad questions. First, in terms of thinking about Asia Pacific and Latin America, in terms of the marketing branding that you want to do with those names, what I'm trying to get at is, do you think this is still a multi-year approach you're going to need to take in order to continue to build out the Agoda brand, to continue to build out the Booking.com brand? Do you feel like you're half way through that kind of marketing investment cycle or core? Is there anything you could do to quantify that? And then, could you also talk broadly about the rental cars business going forward and how, if there's a way you think about how big that could be to Priceline over the next 3- to 5-year time horizon to the extent to which you think it's an easy cross-sell or is it a completely separately run business?
Jeffery H. Boyd: Okay, Mark, so with respect to APAC branding, it's definitely a multi-year investment. If you look at how long both Agoda and Booking.com have been in the APAC market, the relative market share that both brands have, the massive size of that market, especially when you take into consideration China and Japan, which have very, very low penetration of multinational online travel agents selling in market. We have to look at that as a multi-year opportunity. We view that is as good news because it means we have -- if we can execute a long period of growth to look forward to and keep in mind that we've been investing in those markets for years. And we're able to do so, I think, with still having a respectable margin situation. Put another way, we make money in APAC. We're not deficit spending. It's just that the margins in that market are not as high, the operating margins, as they are in other markets where we've been in operating for a longer time. With respect to rentalcars.com, we're excited about the opportunity for rentalcars.com, but we are mindful of the fact that the rental car market internationally is a much smaller market than the hotel market. And therefore, the opportunity to grow and to grow to be of a material size to the group is something that's going to take longer. While there is some cross-sell that we do take advantage of and we'll continue to take advantage of, rentalcars.com is going to have to be successful, completely independent of that, because the cross-sell opportunities are not going to be enough to really build that into a giant business by themselves. And so that's one of the reasons we're excited about the re-branding because we think under one URL, a URL as good as rentalcars.com, you've got a real shot at building a very strong international brand that can stand on its own.
Operator: Our next question or comment comes from the line of Mr. Heath Terry from Goldman Sachs.
Heath P. Terry - Goldman Sachs Group Inc., Research Division: I know you don't want to go into specific detail regionally, but can you give us a sense of where you're seeing the strongest cross-border activity, particularly for Booking.com, to the extent that you're starting to see some traction in the U.S.? And then what kind of traffic into Asia you're seeing, particularly relative to kind of the intra-market that Agoda sees?
Jeffery H. Boyd: Heath, we don't, as you know, give a lot of detail on this. Just speaking very broadly, if you look at Booking.com's business in a lot of these new markets, it's driven in the first instance by the very substantial pool of international travelers that Booking can access because of its network around the world. So the entrance into these markets is often driven by the international traveler. And as Booking.com is able to build up significant inventory and significant content in local languages, the domestic traveler comes next. It wouldn't be surprising if the domestic traveler was initially more interested in international destinations because Booking.com has the best international inventory. But over time, our hope is that Booking.com is able to drive a significant, purely in-country business, and that certainly has happened in Western Europe. With respect to Asia in particular, relatively speaking, Agoda is more driven by the Asian traveler, and Booking.com is more driven by the international traveler.
Operator: Our next question or comment comes from the line of Mr. Tom White from Macquarie.
Tom White - Macquarie Research: There's been a recent sort of spike in fuel costs. I was wondering if you guys could talk a bit about the impact of any sort of prolonged increase in fuel cost on your business and maybe parse it out by product, air versus hotel, and also if there's any sort of interesting differences by geographies.
Daniel J. Finnegan: Tom, we haven't seen any impact in our results to-date. We think the Q4 results are strong, and the Q1 guidance is positive as well. But certainly, something that takes a big bite out of discretionary spending available for travelers is not a positive factor for our business. So if fuel prices go higher or stay elevated for a prolonged period of time, that's a negative factor. But it hasn't had a negative impact to-date. In terms of parsing it by segment or travel, I mean, the higher fuel prices typically drive even higher airline ticket prices. We've already seen that over the last several quarters even without the dramatically higher fuel prices. So we've already been contending with that. Higher ticket prices also make it harder for leisure travelers to be able to afford the travel, and that's not helpful. But since our business is predominantly hotel-centric, to the extent that they still travel by car or train or shorter flight, we would hope to have the ability to tap into that booking.
Operator: Our next question or comment comes from the line of Mr. Kevin Crissey from UBS.
Kevin Crissey - UBS Investment Bank, Research Division: You've got a nice cash balance. Any thought on acquisition opportunities and thoughts on maybe entering the corporate travel management market?
Daniel J. Finnegan: Well, we're happy we have a good strong cash balance, and we don't feel any pressure to spend that in a hurry. We look at every acquisition opportunity that comes into the market, and we would look to be involved with acquisitions in the future as we have in the past. And then we also look at buying our stock back from time to time on an opportunistic basis, and we'd likely continue to do that in the future as well. We've got our convertible debt that doesn't come through until 2015, but that would be a use of cash as well. In terms of getting more involved in corporate managed travel, we don't see that at this point, Kevin. It's an area that as you track [indiscernible] for expediency, it's not a very profitable business. It's very high-touch. A lot of gross bookings, not a lot of profits, so it's not a priority for us at the moment.
Operator: Our next comment or question comes from the line of Tracy Young from Evercore.
Tracy B. Young - Evercore Partners Inc., Research Division: I don't know if you'll answer this specifically, but you did mention that there would be an increase in CapEx. Is there anything that we should expect in terms of targets in Asia or something that would be a significant boost in CapEx? And then also, the domestic bookings is 10%. You did mention the ADRs are up about 6% for the quarter, so that seems a little bit low. Is there anything you can provide as far as guidance on that?
Jeffery H. Boyd: I'll hit the CapEx question, and Dan can hit the domestic growth question. And the short answer is there's no particular IT project that we would point you to. If you look at our CapEx increases, it's typically been for general IT build-out to handle the growing traffic loads associated with growing business and to a degree, the expansion of our office space. We've hired a substantial number of employees in 2011. Our office needs have grown. We have new office space in Amsterdam, as well as in the U.K. for Booking.com, so there's some office space build-out in there as well.
Daniel J. Finnegan: And Tracy, on the domestic growth rate question, we said ADR is up 5% to 6% for Q1. And you're right, we are projecting about 10% gross bookings growth. So if you look at what we talked about for Q4, we've had strong growth in our retail hotel room night bookings and that trend is likely to continue. We've had some modest declines in our Name Your Own Price hotel business, which is our biggest business in the U.S., and so that has a negative impact on growth rates. Besides that, you can have some volatility in Name Your Own Price airline tickets depending upon our ability to obtain discounted rates, and that varies depending upon how the market is developing in that quarter. All else being equal, it's going to be more difficult just given the capacity that the carriers have put in place in the last quarter or so. So those would be the key drivers for domestic.
Operator: Our next question or comment comes from the line of Mr. Mike Olson from Piper Jaffray.
Michael J. Olson - Piper Jaffray Companies, Research Division: I know you don't want to talk about specific growth rates by country, but could you highlight a couple of the top specific emerging market countries within Asia and South America that you just feel you're best positioned to have a leadership position in and that offer the highest potential growth opportunity in the next couple of years? And then maybe the opposite as well, are there any particular emerging market countries that have just proven particularly challenging or that you're avoiding?
Jeffery H. Boyd: As you guys know, we try not to get down to country by country. With respect to the business in Asia, Thailand has always been a key destination for us. We've underlined that over the last couple of years as there have been disruptions in Thailand from exogenous events. Hong Kong, Singapore, also good markets. I'm not going to represent whether we do or don't have a leadership position in any particular market. And if you look at Australia, New Zealand, that's an attractive market for us. We're certainly not the market leader there, but we still think there's opportunity there. Historically, our approach to the region has been focused primarily outside of China and India. And we are not excluding those markets as being of interest to us and we are investing in those markets. So those are places where our business is relatively small and where the opportunity potential is enormous.
Operator: Our next question or comment comes from the line of Mr. Douglas Anmuth from JPMorgan.
Douglas Anmuth - JP Morgan Chase & Co, Research Division: I know you mentioned the 220 basis points of deleverage in online advertising, but can you talk more about the trends that you're seeing in search, both paid and organic? There's a number of companies like TripAdvisor and HomeAway that have talked about seeing less traffic from Google in 4Q, either because of changes in how Google displays results or because of macro. So if you could comment on that. And also just to clarify, should we be thinking about advertising costs as the primary reason for the guide being more flattish year-over-year for 1Q in terms of margins?
Jeffery H. Boyd: Yes, I think with respect to add deleverage, as Dan mentioned, one of the principal drivers is the increasing mix of paid business versus other businesses if you look at the total channel mix of the group's business. I think you have to be careful in taking the experience of a HomeAway or a TripAdvisor and reading that over to an online travel agency because essentially, those businesses are media model businesses and could very well have a different experience with Google than we might have. Having said that, everybody knows that there are a lot of changes going on in the Google marketplace, including vertical search, flights and hotel finder. And while we're not going to comment on any specific impact of those products to -- in the marketplace, they're both products that Google could drive a lot more traffic to than they are today. And they could have an impact on businesses of not only media model players, but online travel agency players as well.
Operator: Our next question or comment comes from the line of Mr. Herman Leung from Susquehanna.
Herman Leung - Susquehanna Financial Group, LLLP, Research Division: Two quick questions. First, I guess, there's a bit of increased hiring obviously going on with your business, at least looking at your stock comp rising, as well as personnel cost. When do you -- I guess, what areas are you specifically hiring in and when do you expect some of that large scale of employees start to contribute to the business? And then secondly, I guess on your CPC rates in -- on the European side, I guess can you talk about where this increase in marketing, I guess, is going, whether it's on the SCM side or on the SCO side? And are you seeing good kind of returns on the Google hotel finder?
Jeffery H. Boyd: So with respect to hiring, we typically have hired up reasonably significantly to support seasonal growth peaks in the business. Our business, the international business in particular, peaks in the summer. And with the growth rates we've been experiencing, it's important to hire up customer service associates to handle that business. And in addition, as we've been expanding geographically and building the hotel inventory, we need to hire people to be out in the regions visiting the hotels and making sure we have them signed up in the first instance and rates and availability on an ongoing basis. All of those people get productive very, very quickly. But there's an element of variability to it because we need more of them as the business grows and as the hotel inventory grows. So I think that's the way to look at that. We may have relatively more or relatively fewer than we actually need at any given point in time, and that can drive a little positive or negative leverage. And if you look at our conference calls over the past couple of years, you can see some verbiage about that. But I don't think those variances are material to the long-term profitability of the model. With respect to CPCs in Europe and your question about where the investment goes, our investment is way, way emphasized on paid channels. So if you look at what we're spending in online marketing, that's paid marketing. It doesn't represent a massive amount of spend on people working on optimization for search engines and other channels. That's not to say that we don't do some work on that, but that's just not a significant part of that spend number you see in the income statement.
Operator: Our next question or comment comes from the line of Mr. Justin Post from Bank of America.
Justin Post - BofA Merrill Lynch, Research Division: Jeff, I think you gave some new market data. And I don't think you've ever quantified your share or the opportunity in Europe since you bought the 2 European acquisitions. And I think you said mid-single digits. We've been estimated kind of low double digits. Are your ADRs any different than you saw in that study, would you estimate? And secondly, do you think their room assumptions are reasonable? Obviously, you gave the data but that seems like a low share from what we've been hearing from hotels. It seems like you have more share than that. And then secondly, I think seasonality was a factor for very strong bookings in Q4 and Q1 last year of Asia and South America. Are you still seeing a nice benefit as those markets grow much faster, you mentioned that. And could that be a factor for maybe some deceleration as we get towards the middle of the year?
Jeffery H. Boyd: So with respect to Eurostat, investors have been asking us for a long time for share data. And we've responded for a long time that we, not only did we not want to give it out, but that we really didn't have any high-level data that was -- that seemed at all reliable with respect to what the size of the total market was. That Eurostat study is the first thing that we've seen that purports to be somewhat complete. That doesn't mean that it is perfect, and it's very possible that it contains a lot more accommodations than we are currently dealing with. So it doesn't represent what our share is of the hotels that are actually participating with us. It represents what our share is of the total number in their count. So we gave visibility to that study because we thought it was interesting, and we thought you all might find it interesting. But I think investors and analysts have to come to their own conclusions about what that really says about the share -- our share in markets where we're with participating hotels and our share in markets where we have relatively higher penetration, for example, in Western Europe, where we've been operating for a long time and in many cities, where our share is obviously higher than that. With respect to your question on seasonality, our business now reflects the fact that we have a growing business in Asia and in South America that has a little bit different seasonality than the northern hemisphere does. I don't see any particular trend to point to that -- in this particular quarter that says that's going to significantly change our seasonality in the balance of the year. But it's no question that it has an impact because it is a growing piece of the business.
Operator: Our next question or comment comes from the line of Mr. Jeetil Patel from Deutsche Bank.
Jeetil J. Patel - Deutsche Bank AG, Research Division: A couple questions. First of all, I guess, it looks like, in general, in the U.S. market, you're giving out gross margins trending higher domestically. I guess implicitly, it looks like gross margin in your guidance is going to be going up in the U.S. as well. I guess, as we think about that, is the bigger shift here that 2012 may be more of a year of scaling up the Booking.com brand in the U.S. market than kind of going really after that hotel opportunity since you seem to be signing up quite a few hotels, at least domestically? And then second, maybe another way to kind of look at Booking.com, but can you talk about where the percentage of mix of hotels ends up going to between U.S., Europe and Asia?
Jeffery H. Boyd: Well, with respect to gross margins being higher, and Dan will correct me if I'm wrong about this, I think that's driven more by bookings that were made in the fourth quarter that are being stayed in the first quarter and our decelerating growth rate, which is just driving a timing impact, where we get a little bit more gross profit dollars compared to gross bookings because of that timing. It doesn't have anything to do with the extent to which Booking.com is or is not penetrating the market in the United States. The domestic business as we reported is driven by transactions on the priceline.com website.
Daniel J. Finnegan: The other factor with the U.S. could be the extent to which retail online tickets are representing a portion of gross bookings and they have negligible gross profit associated with them. There's been no significant fundamental change in core margins for our domestic business.
Jeffery H. Boyd: And I think your second question had to do, if I understood it correctly, with hotel acquisition. And while hotel acquisition for the international businesses is occurring in all markets, including core markets and places where we've been operating for a long time, there is substantial investment in new markets. And we're probably bringing on more new hotels in new markets than we are in the core markets.
Operator: Our final question or comment comes from the line of Mr. Anthony DiClemente from Barclays Capital.
Anthony J. DiClemente - Barclays Capital, Research Division: My question was answered. Thank you.
Operator: I will turn the conference back over to you for any closing remarks.
Jeffery H. Boyd: Thank you all very much for participating in our call.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone, have a wonderful day.